Operator: Welcome to the MPLX First Quarter Earnings Call. My name is Amanda, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Kristina Kazarian. Kristina, you may begin.
Kristina Kazarian: Welcome to MPLX’s first quarter 2025 earnings conference call. The slides that accompany this call can be found on our website at mplx.com under the Investor Tab. Joining me on the call today are Maryann Mannen, President and CEO; Kris Hagedorn, CFO, and other members of the executive team. We invite you to read the Safe Harbor statements on Slide 2. We will be making forward-looking statements today. Actual results may differ. Factors that could cause actual results to differ are included there, as well as in our filings with the SEC. With that, I will turn the call over to Maryann.
Maryann Mannen: Thanks, Kristina. Good morning and thank you for joining our call. In the first quarter, adjusted EBITDA was $1.8 billion, a 7% increase year-over-year. Distributable cash flow was $1.5 billion, which supported nearly $1 billion of distribution to our unitholders and $100 million in unit repurchases. Since the start of the year, MPLX has announced over $1 billion of strategic acquisitions. First, with our NGL value chain, MPLX will be acquiring the remaining 55% interest in the BANGL NGL pipeline system. Full ownership of BANGL and its expansion opportunities enhance our Permian platform as we connect growing NGL production from the wellhead to our recently announced Gulf Coast fractionation facilities. The BANGL transaction is anticipated to close in July, subject to the satisfaction of closing conditions. Second, MPLX expanded its crude oil value chain by acquiring gathering businesses from Whiptail Midstream in March. These San Juan Basin assets in the Four Corners region enhance our strategic relationship with MPC. And third, MPLX has entered into an agreement to double its stake in the Matterhorn Express Pipeline from 5% to 10%. The transaction is expected to close in the second quarter of 2025, subject to the satisfaction of closing conditions. These acquisitions are expected to be immediately accretive. We’re all well aware of the volatility in the commodity markets. However, we continue to see robust production across our Marcellus, Utica and Permian operating regions. These basins have some of the lowest breakeven prices in the U.S., offering economically advantaged and development opportunities. Based on feedback from our producer customers, we continue to expect year-over-year volume growth. In the Marcellus and Utica basins, longer laterals are resulting in higher volumes with less incremental capital. In the Permian basin, production growth continues to create growth opportunities across our Crude, Natural Gas and NGL businesses. The U.S. is a low-cost producer of energy fuels needed across the globe. Notwithstanding current market volatility, the outlook for hydrocarbons remains robust. Grid electrification, on-shoring, near-shoring and data center development are driving natural gas demand growth forecasts through the end of the decade. As demand increases for natural gas-powered electricity, we are well positioned to support the development plans of our producer customers. MPLX is growing the base business by developing processing plants on a just-in-time basis, increasing the utilization of our existing assets, optimizing of our asset footprint and enhancing our strategic relationship with MPC. At the same time, global demand for transportation fuels is expected to grow. The U.S. refining industry is expected to remain structurally advantaged over the rest of the world. The accessibility of nearby crude, the availability of low-cost natural gas and overall systems flexibility provide U.S. refiners a competitive advantage over international sources of supply. Furthermore, we believe the MPC refining assets are the most competitive in each region where MPC operates. Our strategic relationship with MPC positions us well to facilitate crude and products logistics solutions which optimize the value chains supporting their operations. We have a very high degree of confidence in our investments as the macroeconomic environment for energy remains favorable. And we believe we have significant opportunities to grow the business, leveraging our existing value chain platforms. Within the Permian, MPLX advanced its strategic growth objectives as we are strengthening our NGL integrated value chain. MPLX is completing construction of its seventh processing plant, Secretariat, a 200 million cubic feet per day processing plant expected online in the fourth quarter of 2025, bringing our processing capacity in the Permian basin to 1.4 billion cubic feet per day. In the first quarter, the BANGL Pipeline completed its expansion to a capacity of 250,000 barrels a day. The mainline expansion to 300,000 barrels per day is progressing and expected to be operational in the second half of 2026. We are progressing the 2025 portion of our $2.5 billion investment in our two Gulf Coast fractionators and joint venture export terminal. Frac 1 in the export terminal are expected to be in service in 2028, while Frac 2 is expected to be in service in late 2029. Our current customer commitments support this project. Volumes from our plants are currently fractionated at third-party facilities, and in the future, these volumes will move through our fractionation facilities. Upon completion of MPLX’s fully integrated NGL value chain, the BANGL Pipeline will connect the Permian to the Gulf Coast fractionators and supply LPGs to a growing global market. Additionally, we believe the expansion of our Gulf Coast NGL value chain will create a platform for optimization and incremental growth opportunities. Within Natural Gas, last month we announced another step in the advancement of our natural gas value chain. MPLX and its partners announced they will construct the Traverse natural gas pipeline following the receipt of sufficient volume commitments. Traverse will be a 1.7 billion cubic feet per day pipeline and connect supply between Agua Dulce and Houston area. The project offers a compelling value proposition and complements the previously announced Blackcomb and Rio Bravo pipelines. MPLX will be a 34% partner in the project. Traverse is expected to be in service in the second half of 2027. The continued build-out of this natural gas system enhances our ability to provide Permian basin shippers with premium market access and superior flexibility while enhancing MPLX’s natural gas value chain through additional growth opportunities. To execute our mid-single-digit growth strategy, our plans include spending $1.7 billion of capital on growth projects in 2025. 85% of our growth capital will be allocated to opportunities within our Natural Gas and NGL Services segment, driving third-party cash flows to MPLX. In the Marcellus, our largest operating region, construction of our Harmon Creek III processing plant and fractionation capacity align with producer drilling plans. With strong commitments to our system in the Northeast, this complex will include a 300 million cubic feet per day processing plant and 40,000 barrel per day de-ethanizer. MPLX anticipates that by the second half of 2026, gas processing capacity in the Northeast will reach 8.1 billion cubic feet per day and fractionation capacity will reach 800,000 barrels per day. Within the Crude Oil and Products Logistics segment, we are expanding crude gathering pipelines, supporting the Permian and Bakken basins, undertaking butane blending projects at our product terminals and investing in other high returns targeted at the expansion or debottlenecking of assets. We expect mid-teens returns on our investments and believe our execution of these projects will extend the durability of our mid-single-digit growth profile, allowing us to invest in the business and support annual distribution increases in the future. We have the financial flexibility to execute strategic acquisitions that complement our organic capital deployment plans and will continue to evaluate opportunities as they arise. We have ample capacity to undertake additional strategic acquisitions while maintaining leverage below four times. We are committed to growing the partnership through our lens of capital discipline and are confident in our growth opportunities to generate durable cash flow for MPLX, supporting our commitment to return capital to unit holders. Now, let me turn the call over to Kris to discuss our operational and financial results for the quarter.
Kris Hagedorn: Thanks, Maryann. Slide 9 outlines the first quarter operational and financial performance highlights for our Crude Oil and Products Logistics segment. Segment adjusted EBITDA increased $38 million when compared to the first quarter of 2024. The increase was driven by higher throughputs across our systems, partially offset by higher operating expenses associated with those increased throughputs. Pipeline volumes were up year-over-year, primarily due to less refinery maintenance impact and increased volumes in the Permian. Terminal volumes were also up year-over-year, primarily due to the West Coast. Moving to our Natural Gas and NGL Services segment on Slide 10, the segment established a new record as segment adjusted EBITDA increased $84 million compared to the first quarter of 2024. The increase was driven by a $37 million non-recurring benefit and volumes in the Permian and Utica basins, including growth from equity affiliates. Gather volumes increased 5% year-over-year, primarily due to increased drilling and production in the Permian and the addition of dry gas volumes from Utica assets acquired in 2024. Processing volumes increased 4% year-over-year, primarily in the Permian and Utica basins. Processing in the Utica alone have increased by 24% year-over-year, demonstrating the value of the liquids-rich acreage. Marcellus processing utilization was 92% in the quarter, reflecting continued strong producer activity in the region. Total fractionation volumes grew 4% year-over-year, primarily due to higher processed volumes and ethane recoveries in the Marcellus and Utica basins. Moving to our first quarter financial highlights on Slide 11, total adjusted EBITDA of $1.8 billion and distributable cash flow of $1.5 billion increased 7% and 8%, respectively, from the prior year. MPLX returned $1 billion to unitholders and distributions and $100 million in unit repurchases during the quarter. We repaid $500 million of maturing debt in February and also issued $2 billion of senior notes. A portion of the proceeds were used to retire $1.2 billion of senior notes maturing in June. And we ended the quarter with a cash balance of $2.5 billion. As a reminder, the first quarter is typically our lowest quarter for project-related expenses. Like prior years, we anticipate these expenses will increase nearly $40 million in the second quarter, reflecting more favorable weather to undertake project-related work. MPLX maintains strong financial flexibility and we expect to continue growing the partnership’s cash flows, enabling the return of capital to unit holders. Now let me hand it back to Maryann for some concluding thoughts.
Maryann Mannen: Thanks, Kris. MPLX has a strong history of growing the partnership’s cash flows and its distributions to unitholders by executing its strategic priorities, all while maintaining capital discipline. While year-to-year growth may not be linear, we are targeting a mid-single-digit growth rate over multiyear periods. And as you can see from our historical results, we have achieved this growth. By deploying capital wisely, controlling our costs and optimizing operations to get the most out of our assets, we have delivered 7% growth for both adjusted EBITDA and DCF on a four-year compound annual basis. Similarly, the growth and durability of our cash flows, combined with strong coverage of 1.5 times and low leverage, has allowed MPLX to consistently increase its quarterly distribution, most recently by 12.5%. And our growing portfolio is expected to support this level of annual distribution increases in the future. In summary, the opportunities ahead of MPLX in 2025 remain compelling as we execute our mid-single-digit adjusted EBITDA growth strategy. MPLX is a strategic investment for Marathon, and as both pursue value-enhancing opportunities, the value of this strategic relationship is further strengthened. Our commitment to operational excellence, our growth opportunities, and our financial flexibility position us to generate durable cash flow for MPLX, supporting our commitment to peer-leading capital returns to unitholders. Now, I’ll turn the call over to Kristina.
Kristina Kazarian: Thanks, Maryann. As we open the call for questions, as a courtesy to all participants, we ask that you limit yourself to one question and a follow-up. If time permits, we will re-prompt for additional questions. Operator, are we ready for the questions?
Operator: Thank you. [Operator Instructions] Our first question will come from John Mackay with Goldman Sachs. Your line is open.
John Mackay: Hey. Good morning. Thank you for the time. So, Maryann, I appreciate the comments on the kind of more positive tone of the macro backdrop, but I do want to go back to something we probably haven’t talked about in a while. Do you and the team mind just kind of running through and reminding us what the business looks like right now in terms of kind of contract mix, take or pay, et cetera? Any comments on both sides of the business would be helpful, particularly as, the partnership has grown over the last couple of years? Thanks.
Maryann Mannen: Yeah. Good morning, John. Thanks for the question. Look, first and foremost, if we take sort of step back and try to look at the business overall, look, we’re obviously seeing a little bit of volatility. We’re watching a few of our producer customers very closely. Obviously, some of them having announced in the last few days, but we think our strategy truly positions as well. We believe that the strategy is durable and we can succeed really in generating the kinds of returns and growth through most of these macroeconomic environments. The strategic relationship with MPC is a key part of that. I mentioned it as well. I think keep in mind that notwithstanding this volatility, we’re seeing that most of the earnings in our business are coming from natgas and the NGSL, or excuse me, in the NGL segment in the Northeast. Those natural gas prices are remaining strong and the producers are relatively less sensitive to that. So, in general, I think you also saw the announcements that we made in the quarter, the incremental purchase of to 100% to 55% in BANGL. You saw our announcement in increasing Matterhorn 5% to 10% as well. And so these things continue to be supportive. The other comment that I’d make, and then I’ll pass it to Kris to talk a little bit more about the contract mix, is much of our business is not spec [ph], right? We are building just in time. So our projects, if you look at what we’re doing in the Permian, seventh gas processing plant there that brings us to 1.4 Bcf is really just in time. So, that project will continue, and again, we expect that to be accretive and meet our goals. Let me pass it to Kris to talk about the mix there.
Kris Hagedorn: Yeah. John, just to get maybe a little more granular into the mix, we’ll start with Crude and Products Logistics. That’s about, if you recall, two-thirds of our EBITDA for MPLX in total and about 90% of that segment revenue is generated from Marathon Petroleum. So when you think about those arrangements with MPC, they provide significant protection during lower refinery utilization. And I just would have you think back to the 2020 COVID year when we actually were able to grow distributions and EBITDA. And then when you think about our Natural Gas and NGL segment, roughly two-thirds of that EBITDA is still being driven by the Marcellus Basin. And when you think about the Marcellus Basin, those contracts are fee-based and have over 75% in BC protection. That’s maybe a general overview.
John Mackay: That’s helpful. I appreciate the detail. One more, and again, acknowledging the comments and kind of the just-in-time project focus. But if we’re looking at the capital budget and just kind of spending from here, I guess what’s the sensitivity on that to the macro backdrop? Let’s say if Permian production starts to slow a little bit more, how can you kind of be flexible on some of these projects? And maybe in particular, since a lot of these are JVs, maybe even like the export dock, how do we think about kind of really governance with your partners on choosing or being able to flex some of that spend? Thanks.
Maryann Mannen: Thanks, John. Let me just remind you, if I might, as we look at our capital plan for 2025, we said about $1.7 billion that was focused on growth. About 85% of that is really NGL and natgas-related. Secretariat is in that mix. We do not anticipate slowing that project or that processing facility is expected to be complete at the end of the year. We’ve also talked about Harmon Creek III, the Marcellus, that project, again, expected and on its way. One where we are in the early stages, but we’re spending this year’s portion is for the Fracs and the export terminal, 2028 and 2029. I would say the rest of that, we can obviously continue to evaluate and have the ability to flex some of that as needed, but for the most part, that’s really how we’re seeing capital for this year. I’m going to pass it to Greg and let him give you a little more color there.
Gregory Floerke: Yeah. Thanks, John. I think that Maryann’s points were all just to add a little bit to that. We do have strong customers, a solid customer base in the Permian and all across the regions, and the Secretariat plant that we are constructing now is under -- is being built not to spec, but under contract. So we take a long-term approach and our customers are, too. Obviously, volatility right now and some fluidity in terms of crude pricing, but the gas and gas processing side, we’re still bullish on, and as the gas haul ratio goes up on even the producing wells, regardless of the pace of new crude drilling, that also drives volume in the Permian Delaware basin.
Maryann Mannen: And, John, it’s Maryann. I want to make sure, I think you also asked a question about whether or not we would consider slowing or halting the project on the export business. I think that was your question, and I would say at this juncture right now, like, we continue to think that LPG exports will continue. They need to -- they need to find a home placement in Europe, Southeast Asia, Japan. We saw just the other day, frankly, the tariffs get lifted on ethane, so at this juncture, we continue to believe it’s an appropriate course for us to proceed.
John Mackay: All right. That’s great. Really appreciate the call there. Thank you.
Operator: Thank you. Our next question comes from Manav Gupta with UBS. Your line is open.
Manav Gupta: Good morning. A strong M&A to drive growth. My quick question here is, can you get some more details around this acquisition of gathering business from Whiptail Midstream? How did this come about, the benefits to your midstream portfolio? And it looks like it might actually be a little bit of a synergy to your refining business also, if you could talk about that?
Maryann Mannen: Good morning, Manav. Thanks for the question. Yeah. So Whiptail, it’s a Crude Oil, Natural Gas and Water Gathering business, and it really supports production in the Four Corners region. I think you said it well, as we have continued to try to talk about the strategic relationship and our ability to optimize across our full value chains, this asset really complements MPLX’s existing presence in the region, as well as enhances our strategic relationship with MPC, particularly when you think about its connectivity to the El Paso refinery. So about a $237 million transaction. I think it really supports our requirements when we think about putting capital to work. We expect it to be immediately accretive, deliver mid-teens returns, and really complement the strategic relationship and the value chains between MPC and MPLX.
Manav Gupta: Perfect. My quick follow-up here is, can you talk about the WPC JV, three strong partners? Looks like your guys are moving ahead with the Traverse Pipeline. So how does this project benefit the overall portfolio? And also, how do you see this JV developing, three partners coming together versus trying to do all alone on yourself? Like, can you talk about those benefits a little?
Maryann Mannen: Sure, Manav. I think, as we talk about our natgas wellhead water strategy, we’re really always looking to optimize those value chains, whether it’s Natural Gas, the NGLs, Crude. We don’t think this is static, right? We’re going to continue to adapt as we see the market. And I think this is an example of an opportunity here as we’re looking for the longer-term growth in our natural gas value chains. But let me pass it to Dave, and he can give you some of the specifics around Traverse.
David Heppner: Hey. Thanks, Maryann. Yeah. Manav, so let me give a little more color about our Permian natgas to Gulf Coast strategy and how Traverse fits into that, because I think it’s real important. So first of all, let me set the stage that we have and continue to see strong Permian growth along with strong customer demand and we’re always looking to participate in the opportunities along that value chain. So that’s kind of the backdrop. And so first was all around egress out of the Permian Basin to the Gulf Coast. So what I want you to think about there is Whistler and Blackcomb, Permian to the Agua Dulce market, and then Matterhorn from the Permian to the Katy market. So those are the long-haul pipes to clear the barrels out of the Permian basin. Second is the connectivity, the final connectivity to the demand hub, which is the LNG facilities in the Gulf Coast. So there, think about ADCC from Agua Dulce to Corpus Christi, and then Rio Bravo most recently from Agua Dulce to the Brownsville, Texas market. So that’s kind of that last mile to the demand hub, the LNG facilities. And then third is where Traverse comes in. And that’s providing optionality and flexibility to our shippers and access to premium markets. So Traverse is a bidirectional pipeline between Agua Dulce and Katy to give them, to give our shippers that optionality and flexibility. So that’s really how it all fits together. So going forward, back to your question, we’ll continue, as always, to evaluate opportunities, to optimize and evaluate and enhance our Permian to Gulf Coast value chain to meet this continued growth that we see and the continued customer demand and the flexibility that they’re looking for. So hopefully that gives you a little more color in our overall strategy.
Manav Gupta: Thank you and congrats on a very strong quarter.
Maryann Mannen: Thank you, Manav.
Operator: Thank you. Our next question comes from Burke Sansiviero with Wolfe Research. Your line is open.
Burke Sansiviero: Hi. Good morning. Just with the buyout of your partner’s interest in BANGL, the two new Fracs and the export project, would you say the company now has sufficient scale to compete in the integrated NGL value chain or are there more pieces you’d like to add to increase the size and scale of the platform?
Maryann Mannen: Good morning, Burke, and thanks for the question. As we think about BANGL, when we started with about 25% ownership, last year we bought incremental ownership to get us to 45%, and now this year we’re announcing the final 55% that gives us 100% ownership of BANGL. We think this transaction and the level of ownership there, right, the 100% ownership, is a really critical link in our integrated NGL value chain and it strengthens our control there. Plus, we think it positions us to support our producer customers well. I would say, as you know and have heard us say, we continue to see opportunities. This strategy is critically important to us and we’ll look for opportunities to put capital to work that meet our requirements, that is growth, EBITDA, mid-single-digit over the long term, being able to generate mid-teens returns, and ultimately then support the 12.5% distribution. So, we’ll continue to evaluate those opportunities in addition to this transaction. I’m going to ask Shawn to give you a bit of color on BANGL as well.
Shawn Lyon: Good morning, Burke, and thanks, Maryann. Hey, Burke, we continue to see really strong volumes and growth profile in the Permian basin and the BANGL Pipeline. What we call Segment B, which is Gardendale to Sweeney, expansion was completed this first quarter of 250,000 barrels per day, and then the additional expansion to 300,000 barrels per day is expected to be completed in the second half of 2026. So, in summary, we’re confident in the growth profile of BANGL, especially as we execute, as Maryann mentioned, our well-head to water strategy continuing forward.
Burke Sansiviero: Thanks for the color there. And just for my second one, how contracted are the Frac and export projects with MPC, and is it only the ethane that MPLX would need to sell to third parties?
Maryann Mannen: Yeah, Burke, Maryann, we talked about the fact that ethane is what MPLX would be marketing last quarter, and then MPC and MPLX will enter into a contract for all of the C3, but I’ll pass it to Greg and let him give you additional color.
Gregory Floerke: Thanks, Maryann. Burke, we have near -- we have facilities very near our planned Texas City Fracs. That -- and other options in that area that we don’t plan to, at this point, to export ethane, but we do have plenty of offtake options and we’re working those, but that will be, as you mentioned, MPLX in charge of closing those deals.
Burke Sansiviero: Thanks. Appreciate it.
Maryann Mannen: Thanks for the questions, Burke.
Operator: Thank you. [Operator Instructions] Our next question comes from Michael Bloom with Wells Fargo. Your line is open.
Michael Bloom: Thanks. Good morning, everyone. Can you speak to the level of buybacks executed in the first quarter? In light of the fact you’ve stepped up your level of CapEx, you have, I think, less excess free cash flow after distribution than you’ve had in the past, and the macro environment is obviously a little more uncertain. So how do we think about buybacks going forward?
Maryann Mannen: Yeah. Good morning, Michael. Thanks for the question. First and foremost, I would say, as we think about our capital allocation priorities, they really haven’t changed, and so we want to be sure that we are deploying capital to meet that mid-single-digit growth over the period of time. As I said, it -- we don’t necessarily expect it to be linear, but over a long period of time, we’re saying mid-single-digit growth. At the same time, we want to be able to generate mid-teens returns on that capital that we put to work, because we think maintaining that 12.5% distribution, as we have been talking about, is critically important. At the same time, when we look at the valuation of the equity, when we look at our growth plans and we look at the opportunities, those that we’re here talking about today and those we continue to evaluate, we think the equity is undervalued, and so we are using that as the ability amongst all the rest of the capital allocation priorities to lean in there as well. I think you said it well, right? We’re looking at the volatility in the short-term, but overall, this year, we are expecting year-over-year volume growth, as I shared. So, hopefully, that’s helpful, Michael.
Michael Bloom: Yeah. Thanks for that. I appreciate it. And then, I just wanted to ask a broad question on tariffs. It hasn’t really come up much on this call. Is there just any impact we should think about for MPLX, maybe to incremental project costs, returns or any other elements we should be thinking of? Thanks.
Maryann Mannen: Yeah. Sure, Michael. I would say, at this juncture, for what we know about the tariffs and the intentions, notwithstanding sort of what may happen within this less than 90-day window that’s remaining here for resolution, but it really has very minimal impact on MPLX, as you know, particularly as we think about the operations. Certainly, some of the projects that we talked about, particularly our Fracs, et cetera, we’ve tried to get in very early and ensure that, we don’t have cost creep, et cetera. So, what I would tell you is, we are controlling, as you know, we try to do. We’re controlling the things that we absolutely can. We’re trying to stay ahead of those curves and ensuring that we can bring those projects in as expected. So, minimal impact as we sit here today for what we know.
Michael Bloom: Thank you.
Maryann Mannen: You are welcome.
Operator: Thank you. And at this time, we have no further questions. I’ll now turn the call over back to Kristina.
Kristina Kazarian: Thank you for your interest in MPLX. Should you have more questions or would you like clarifications on topics discussed this morning, please contact us and our team will be available to help with your questions. Thank you for joining us today.
Operator: Thank you. That concludes today’s conference. Thank you for participating. You may disconnect at this time.